Operator: Hello everyone. Welcome to the LL Flooring First Quarter 2022 Results Call. My name is Charlie and I'll be coordination the call today. [Operator Instructions]. I will now hand over to your host, Julie MacMedan, Vice President of Investor Relations to begin. Julie, please go ahead. 
Julie MacMedan: Thank you, operator. Good morning, everyone, and thank you for joining us. Today, I am joined by Charles Tyson, our President and Chief Executive Officer, and Nancy Walsh, our Chief Financial Officer. As we begin, let me reference the Safe Harbor provisions of the U.S. securities laws for forward-looking statements. This conference call may contain forward-looking statements that are subject to significant risks and uncertainties, including the future operating and financial performance of LL Flooring. Although LL Flooring believes that the expectations reflected in its forward-looking statements are reasonable, it can give no assurance that such expectations or any of its forward-looking statements will prove to be correct. Important risk factors that could cause actual results to differ materially from those reflected in the forward-looking statements are included in LL Flooring's filings with the SEC. During today's conference call, management will be discussing results on an adjusted basis. A reconciliation of non-GAAP financial measures to the most directly comparable GAAP financial measures and our explanation of why the non-GAAP financial measures may be useful are discussed in today's earnings release.  The information contained in this call is accurate only as of the date discussed, investors should not assume that the statements will remain operative after today and LL Flooring undertakes no obligation to update any information discussed in this call. Now, I am pleased to introduce President and CEO Charles Tyson, Charles?
Charles Tyson: Thank you, Julie. Good morning, everyone. On today's call, I will cover our first quarter performance, review progress on our six core growth strategies, fueling our three-year growth goal and outlook for 2022.  First, I would like to start by thanking all of our associates for their ongoing hard work serving our customers, improving our inventory levels, and opening new stores as we continue to navigate a volatile macro-economic environment. During the first quarter, our teams continue to execute as we gain traction on our six core growth strategies, supporting our goal to deliver $1.5 billion of net sales with expanded operating margins by 2024. We were particularly pleased to deliver record double digit sales to pro customers and to have open seven new stores. Our first quarter financial results were in line with our expectations. Even though comparable store sales were down 3.6%, we achieved sequential improvement from down 6.7% last quarter, and we delivered a 3.3% increase on a two-year stack basis. We faced macro-economic headwinds from inflation and the shift in consumer spending to travel and leisure this year compared to stimulus and nesting spending in the first quarter of 2021. Also in January, we experienced significant store closures related to the COVID-19 variant, including three Sundays when all our stores were closed nationwide. Thanks to the efforts of our supply chain and sourcing teams. During the first quarter, we increased total inventories by $64 million compared to December 31 2021. While much of that remained in transit throughout the quarter, it will benefit us going forward. First quarter adjusted operating income of $4.8 million or 1.7% of net sales was also in line with our expectations and reflects continued supply chain cost pressures on gross margin, as well as the investments we're making to support our three-year growth. Our balance sheet is strong, and we have total liquidity of $231 million.  In April we commenced our share repurchase program, and through April 29 we’ve repurchase $1.5 million under that program, underscoring our confidence in our long-term growth and profitability. Turning now to progress on our six core growth strategies that will position LL Flooring for long-term success. Our goal is to transform LL Flooring into the leading destination for hard surface flooring. We strongly believe we offer a compelling value proposition to customers with selection, expertise and service of a local store, combined with the scale, convenience and value of a national chain. Now I want to share more details about the six core growth strategies we're investing in that, will position us to achieve our long term vision. Accelerating new store openings, growing sales to pros, broadening awareness of the LL Flooring brand, improving the customer experience to deliver on the brand promise, innovating new products and driving our people and culture initiatives. First, accelerate new store openings. Opening new stores is an important strategy that will help us both increase convenience and build awareness of the LL Flooring brand. We're on track to open 20 to 25 new stores in 2022, all in our standard format, which is a 1500 square foot showroom, and attached 5,000 to 6,000 square foot warehouse, with deep end stock inventory readily available for our customers. During the first quarter, consistent with our plan, we successfully open seven new stores across the South Northeast and Midwest.  Second, gross sales to pro customers. Sales support customers are a key component of our long-term growth strategy. And we see a large opportunity ahead. During the first quarter we posted another record quarter of pro sales with double digit growth versus the first quarter of 2021. Our Pro relationship program continues to drive greater pro customer retention and highest sales pro customer. Our strategy is to build and strengthen relationships with pros, through a team comprised of local store talent and dedicated outside pro account reps in the major markets we serve as well as inside sales team. Pros really appreciate the dedicated expert service that our team provides. They view us as a trusted resource that makes their jobs easier. Through this program, which we call TSR, the drive trial, build scale and earn retention. We’re successfully increasing the number of scale pros has been more with us annually. And we are retaining more of them. The TSR program is a key driver to our record growth in sales to pros. And we continue to make investments in this team. Pros also value at dedicated everyday pro pricing and our pro website that makes it easier for them to do business with us. And they value it in stock selection of trend-right floors in their local store. Our store managers assist in customizing the local assortment to stock the floors our pros request. Once the pro places their order, we provide the additional service of storing materials at no charge until the Pro is ready to complete their purchase. We also do not charge customers restocking fees. We continue to build awareness with pros, we developed a pro digital marketing strategy that allows us to deliver personalized messaging based on the pros behaviors and where they are on their journey with us. We're able to tailor messages by segment by market or by pro, delivering value to the pro by communicating with them based on their needs. We look forward to growing ourselves with pros through continued execution of our TSR relationship program. Everyday low pricing website, the assortment and personalized marketing strategies. Moving to our third strategic growth driver, broaden awareness of the LL Flooring brand. We continue to progress on our long-term journey to build brand awareness and equity and establish LL Flooring as the leading destination for hard surface flooring. Our research shows increased customer perception of style, quality and category leadership for the LL flooring brand versus Lumber Liquidators, and we're excited about the new LL Flooring brand as a catalyst for growth. One way we're building awareness of our new brand is through the store rebranding and new store openings. Our Rebranded showrooms highlight the quality and variety of our assortment, as well as support a more curated and guided shopping experience for our customers with signage featuring lifestyle photographs, so customers can envision our flooring in their homes and QR codes that customers can click through to our website to learn more about our products.  We continue to evolve our marketing strategies and capabilities to increase relevance with our customers. That evolution includes a more targeted approach in our creative and segmentation, leveraging new content that is tailor made for specific media channels and delivers more impactful messages to audiences at different stages of their journey. The fourth strategic growth private is improving the customer experience to deliver on the brand promise. Shopping for flooring is a big purchase that requires careful consideration. Our goal is to position LL Flooring as the go to expert in flooring through a comprehensive omni-channel experience spanning out website, Customer Contact Center, stores and installation customers in the home.  There are three key elements of our customer experience strategy, the digital omni channel experience, the end store experience and the installation experience. Starting with the digital omni channel experience, we are continuously improving our llflooring.com digital experience for customers. Integral to our digital strategy is providing online tools like pitcher it as well as inspirational and educational content to guide customers on their journey to select the perfect floor. We're also proud to help customers shop for floors from the comfort of their own home. We are one of the only retailers that offers flooring samples completely free without even a delivery charge. Another important component of guiding our customers through the flooring journey digitally is our Customer Contact Center. We've expanded the number of sales agents with flooring expertise in our contact center. These agents guide customers throughout the flooring journey and help drive sales conversions.  In summary, we provide multiple personal touch points, including virtual guidance to better educate customers, so they are ready to make this important purchase decision for their homes. While a majority of customers start the flooring journey online, most complete their purchase in one of our 431 stores across the country. As stores offer a welcoming environment where customers are immediately greeted by one of our personal flooring experts who can help them select the floors they love. We believe a key competitive advantage is the high touch service and expertise we provide in our stores. And we continue to invest in our associates with competitive wages and benefits, extensive training programs and numerous career opportunities. During the first quarter, we launched a new training program for associates called GREEAAT [ph], which stands for greet, relate, explore and excite, ask and answer and tailor next steps. Through the great sales methodology, our associates will further develop their consultative sales skills necessary to become a trusted adviser to our customers. We're really excited to roll out this program across our sales organization to reinforce our leadership position in providing expert service to our customers. Because the customer experience is so important to us. We have developed a customer feedback mechanism that provides us with daily customer feedback to help us improve our customer experience journey. Next, the installation experience. We're pleased to offer an end to end solution to our customers from inspiration to installation. During the first quarter net service sales comprised of installation and delivery services increased 4.1%. We got off to a slow start in January due to the impact of COVID-19. But we were able to complete more installation projects as the quarter progressed. We continue to focus on providing its apparent installation experience by using technology and training to make the installation process as seamless, fast and easy as possible for customers, associates and contractors alike. The fifth growth strategy is innovating new products and delivering them at a compelling value for our customers. Our merchant and sourcing teams are proactively identifying trends and driving innovation to create exclusive product offerings, and then partnering with the best sourcing providers around the globe to deliver our vision. We believe a key competitive advantage for us is our direct sourcing model. We partner with more than 85 manufacturers across 22 countries to deliver on trend private label product. Our direct sourcing strategy drives better innovation, lower costs and heightened agility and adapting to global supply disruptions due to COVID, or other factors. We have continued to reduce our sourcing from China as we broaden our supply base from other parts of the globe. In the first quarter, we sourced only 16% of product from China, down from 23% at the end of 2021, and down from 48% at the end of 2018. The year the tariffs were first imposed. By going factory direct, we're able to achieve cost efficiencies that we pass on to our customers. For pros, we offer everyday low prices, and for homeowners we offer great value with the opportunity to capitalize on special promotions throughout the year. We also offer a best price guarantee for customers. Within our assortment of 500 plus choices, we uniquely start each store based on local demand, which gives us the best opportunity to meet customer needs at the local level. For example, in our Connecticut market, just under 50% of sales in 2021 were Hardwood, such as our best-selling valuable brand. Well, in Tampa, Florida, roughly 80% of sales were manufactured and performance flooring, including our new Duravana brand.  And because we have a warehouse attached to our showrooms, our stores can easily stock what our pro customers and homeowners want. Giving us an advantage over smaller independent retailers. In short, we believe we have a strong competitive advantage with our direct sourcing, merchandising, assortment and stocking strategies that enables us to deliver quality on trend hard surface flooring in a custom assortment for customers in each local market. Now I'd like to speak about a sixth strategy, driving our people and culture initiatives. Our people are critical to achieving our goal to become the customers’ first choice in hard surface flooring. In today's competitive market for talent, we feel good about our positioning as an employer of choice. We're building a culture that differentiates us and not only makes us an attractive place to work and build a career, but also drives our success. We believe engaged associates aligned with our values are critical to meeting our strategic growth objectives, and delivering outstanding service to our customers. During the first quarter, we completed our second annual employee cultural survey. We're pleased to report that we experienced greater levels of participation with strong results and improvement year-over-year, reflecting both our commitment to our associates, as well as their increased engagement and enthusiasm as LL Flooring employees.  We continue to emphasize internal promotions and career pathing, extensive training and a culture that embraces diversity, equity and inclusion to strengthen our position as an employer of choice as we look to attract and retain top talent. In summary, we're excited about our six strategic growth drivers, accelerating new store openings, growing sales for pros, broadening awareness of the LL Flooring brand, improving the customer experience to deliver the on brand promise, innovating new products and driving our people and culture initiatives will position us for accelerated topline and profitability growth over the next three years.  Turning now to our 2022 outlook. On our last conference call we shared outlook for 2022 to be a tale of two half, with a challenging first half turning to growth in the second half and positive growth for the full year. While we see more volatility in the macro economic environment. At this time, our 2022 outlook remains unchanged. That said we continue to monitor global and domestic inflation and the impact from rising interest rates on discretionary consumer spending, as well as the impact from supply chain disruptions due to COVID-19 shutdowns in China. Inflation hit 40 year highs since February and March and has been further exacerbated by the conflict in Ukraine. We've also seen a shift in spending to travel and leisure of the two years pent up demand. Housing factors are mixed, while existing and new home sales have slowed due to availability and affordability. We feel good about the remote business based on the increase in home equity value and homeowners desire to improve their homes as they adapt their lifestyle to a hybrid work environment. With respect to the supply chain, we're monitoring the impact of COVID related shutdowns in China, on our ability to secure inventory from that region, as well as increased material costs in Europe, and our ability to mitigate these high costs through continued pricing, promotion and sourcing strategies. As previously stated, we've reduced our sourcing from China to just 16%. While we continue to monitor the economic trends impacting our business, based on what we know today, we still expect to deliver positive same-store sales growth in 2022. A key reason for our confidence is that we remain on track to return inventories and our stores and distribution centers to optimal levels by the end of the second quarter. And as we have demonstrated over the past two years, we can be agile and navigate a challenging macro environment, while remaining laser focused on delivering value proposition to our customers. Our balance sheet and liquidity is strong, and we're well positioned to achieve outlook for 2022 as well as our growth objectives over the next three years. As a reminder, our goal is to achieve net revenue of $1.5 billion by 2024, representing a 9% CAGR from '21 to '24, combined with expanded operating margin. We're excited about the growth opportunities ahead and our ability to build some LL Flooring as the leading destination for hard surface flooring.  In closing, in the first quarter, we gain traction on our six core growth strategies, including delivering record pro sales, and opening seven new stores. And we're on course deliver our goal to achieve $1.5 billion in net sales with expanded operating margin by 2024. Our first quarter financial results were in line with the expectations we communicated on a year-end call. We are successfully rebuilding inventories to optimal levels by the end of second quarter supporting our future growth.  Our balance sheet is strong with no debt and strong liquidity positioning us well to achieve outlook for 2022. And to execute our vision to position LL Flooring as a leading destination for hard surface flooring. I look forward to reporting on our progress next quarter.  I will now turn the call over to Nancy to share our financial details and outlook. Nancy?
Nancy Walsh: Thanks, Charles. And good morning, everyone. Before I begin, I'd like to make sure everyone knows that I will be discussing non-GAAP adjusted numbers today, which eliminate certain items that are not indicative of our core business results. Please refer to our first quarter results press release for more details. Turning to the first quarter results. During the first quarter our associates did a tremendous job delivering results in line with our expectations in the face of significant macro challenges. Net sales of $279 million decreased $4.4 million, or 1.6% versus the first quarter of 2021. This was due to a 2.3% decrease in net merchandise sales that was partially offset by a 4.1% increase in net service sales. We saw a 19.8% increase in our average ticket reflecting a greater mix of net services sales, which grew to 13% of net sales from 12% in the first quarter of 2021 as well as the higher merchandise average ticket. The higher merchandise average ticket was driven by pricing and promotion strategies, as well as favorable product mix which primarily reflected a greater mix of hardwood flooring and the launch of our new Duravana performance flooring brand. We saw a 23.3% decrease in transaction count compared to the same period in 2021, largely reflecting the decrease in sales to homeowners. First quarter 2022 comparable store sales decreased 3.6% versus the first quarter of 2021 but increased 3.3% on a two-year stack basis. Turning now to gross profit. Adjusted gross profit with $103.8 million in the first quarter of 2022 compared to $109 million in the first quarter of 2021. Adjusted gross margin was 37.2% for the first quarter of 2022 compared to 38.5% for the first quarter of 2021. A 130 basis point decrease in the first quarter 2022 adjusted gross margin versus 2021 primarily reflects significantly higher transportation and material costs, which were collectively up more than 1000 basis points that we were able to partially mitigate through pricing promotion and alternative country and vendor sourcing strategies. Nonetheless, our factory direct sourcing model and new product innovation are key competitive advantages, as evidenced by the 200 basis point improvement in adjusted gross margin rate compared to 2019. While we continue to navigate higher supply chain costs in the near term, we are encouraged about our ability to expand gross margin rate over the long-term. Adjusted SG&A expense for the first quarter of 2022 was $99 million, compared to $94.7 million in 2021. As the percent of net sales adjusted SG&A for the first quarter of 2022 was 35.5% an increase of 210 basis points for the first quarter of 2021 due to increased investment in our growth strategies, including new stores and pros initiatives, as well as continued investment in customer facing and distribution center personnel. Even as we increase our investment and growth initiatives, we continue to maintain disciplined expense management. Adjusted operating income in the first quarter of 2022 was $4.8 million, compared to $14.4 million for the prior year period, due primarily to lower net sales, increased gross margin headwind and higher SG&A spend to support our growth initiatives. Adjusted operating margin for the first quarter of 2022 was 1.7%, a decrease of 340 basis points from 5.1% in the first quarter of 2021. In the first quarter of 2022, we reported adjusted other expense of $69,000, compared to adjusted other expense of $1.1 million for the three months ended March 31 2021. The decrease was driven by lower interest expense as a result of the repayment of all outstanding debt during the second quarter of 2021. In the first quarter of 2022, we’ve recognize income tax expense of $1 million, for an effective rate of 20.4%. This compared to income tax expense of $3.3 million, or an effective tax rate of 23.4% for the first quarter of 2021. The lower effective tax rate in 2022 was due to the greater impact of permanent items on lower pretax income this year. Adjusted earnings for the first quarter of 2022 of $3.8 million decreased by $6.4 million, compared to the first quarter of 2021. Adjusted earnings per diluted share of $0.13 compared to adjusted earnings of $0.34 cents for the first quarter of 2021 primarily due to lower adjusted operating income. Turning out of the balance sheet. Inventory at the end of the first quarter was $319 million, compared to $254 million at December 31 2021 and $225 million at the end of March 2021. We were pleased to report the total inventory improved $64 million and available inventory per store increased 151,000 as of March 31 2022 versus December 31 2021.  That said while total inventory improved, many of the shipments arrive late in the quarter and we continue to experience inventory constraints at the store level and in some of the most popular skews during the first quarter. Encouragingly, we expect to return to optimal levels by the end of the second quarter of this year as we bring in transit inventories into our stores and distribution centers.  As Charles noted, we are monitoring the potential impact on the supply chain from COVID-19 lockdowns in China and ripple effects in Europe from the Ukraine conflict. Our balance sheet and liquidity remains strong. As a reminder, we repaid the entire $101 million of outstanding debt during the second quarter of 2021. As of March 31 2022, we had $231 million of liquidity comprised of $56 million of cash and cash equivalents and $175 million of excess availability under the credit agreement. Net cash used in operating activities was $23.4 million for the first quarter of 2022, primarily driven by rebuilding inventories, partially offset by increased accounts payable and net income. Turning now to 2022. We continue to navigate uncertainty in the macro economic environment related to inflation, consumer spending, global supply chain disruptions, COVID-19 and a challenging labor market. As a result, we are not providing financial guidance today. What I can share is it while new macro-economic risks have emerged with the Russia Ukraine conflict and COVID-19 lockdowns in China, we are reaffirming our business outlook for 2022 that we reported on February 23. Our full year outlook assumes the macro-economic headwinds will lessen as we enter the second half of 2022. We still expect to deliver positive net sales growth and comparable store sales growth for the full year as we gain traction on our initiative. Our outlook assumes that we will meet our hiring objectives in a continued tight labor market, and we will continue to monitor the impact of inflation on consumer purchasing trends. During the second quarter, we continue to battle macro-economic headwinds, but we still expect comparable store sales to improve on a percentage basis, versus the first quarter of 2022. The biggest uncertainty in our 2022 plan remains gross margin. We are currently anticipating both transportation and material costs to increase in 2022. In addition, our plan assumes we are able to continue to use pricing promotion and sourcing strategies to offset higher costs and they remain significant uncertainty around the impact of inflation on consumer spending, and our ability to pass on sufficient pricing to cover increased costs. Turning to SG&A. 2022 will be a year of investment to drive long-term growth. These investments will support our goal of $1.5 billion in net revenue, coupled with expanded operating margin by 2024. We are focused on increasing investment behind our growth initiatives, including opening 20 to 25 new stores, expanding our pro sales teams, investing more in our customer facing organization, and investing in technology and digital enhancements to improve the customer experience. As a result of these investments, we expect SG&A as a percentage of sales to increase in 2022 compared to 2021. That said, we are planning for sequential improvement in operating profit from 2022 to 2023, and from 2023 to 2024, as we generate increasing returns on our investments. From a capital allocation perspective, we anticipate investing $50 million to $70 million in inventory in 2022. We also plan to invest in CapEx in the range of $28 million to $32 million in 2022 to support our growth strategies, such as new store openings and to complete our store rebranding, as well as to increase operational efficiency. As a result, we expect to report negative free cash flow in 2022 with excess cash generation expected in 2023 and 2024. Our balance sheet and liquidity are strong, and we have the financial flexibility to rebuild inventory, invest in organic growth strategies and return value to shareholders through our share repurchase program. In summary, we delivered first quarter results in line with our expectations. While we continue to navigate a challenging environment, we feel good about our full year 2022 outlook. We expect the increased investment in our growth strategies to drive top line growth in the second half, and to support our three-year growth goals.  Thank you all for your time this morning. With that I'll ask the moderator to open the call for questions.
Operator: [Operator Instructions] Our first question comes from Laura Champine of Loop Capital, Laura, your line is now open.
Laura Champine: Hi, thanks for taking my question this morning. So I saw in your 10-Q that your average price per unit is up 10%. But what's going on with mix versus pure pricing?
Nancy Walsh: So good morning, Laura. So the average ticket went up 19.8% and that's driven both by the net service sales as well as the higher merch average ticket. And that as you mentioned, is a combination of the pricing and promo and the product mix and the product mix is mostly driven by greater hardwood flooring and then the launch of our Duravana, which both have higher margins for us. So that's primary factors.
Laura Champine: Okay, so it sounds like mix is actually up. So if I look at kind of the same unit to same unit, what kind of price increase you're pushing through and how much of your cost increase are you able to recapture at this point?
Nancy Walsh: We -- Laura we're not sharing specifics on that but certainly the increased costs that we're seeing from both transportation as well as material costs, we are partially offsetting that through pricing and promotion. So we are seeing the as you called out the costs go up as well, the retail price go up as well.
Laura Champine: Got it. Thank you.
Operator: [Operator Instructions] Our next question comes from Seth Basham of Wedbush Securities. Your line is now open.
Seth Basham : Thanks a lot, and good morning. First, just a follow up on that line of questioning from Laura, just thinking about your ability to pass through your higher cost into price. What are you seeing in the marketplace right now your gross margin seems to be a little bit lighter than expected this quarter? Do you expect when it fully recovers? The additional cost increases you're experiencing through the balance of the year?
Charles Tyson: Yes, so that's really a two-part question. I'll cover the short term, which is, we've seen what we believe is rational pricing in the marketplace. And we've adjusted our retail pricing as we've needed to based on the inflationary pressure that's coming through. And as we talked about, in terms of mix, we have not seen any elements yet of a trading down from customers out of the premium products, particularly in the new Duravana line, and the solid wood program, we're very pleased with that Bellawood premium product.  So the customers from a mix perspective to date or absorbing those prices. When you ask about the future, I think that the biggest question there is going to be what impact does, maybe external factors like interest rates have on potential discretionary spending? So I'm not going to comment about what the balance of the year might look like. Hope that helps?
Seth Basham: Yes, that does help. Just thinking about that demand environment, you guys have a relatively long purchase cycle. I think you says as much as 60 days or so what are you seeing earlier in the purchase cycle from some of your indicators? Are you seeing decreased interest decreased demand at this point in time?
Charles Tyson: So in the quarter, and I'll talk only about the quarter, obviously, January was challenging. As we've said, we had a lot of disruption from COVID, both with the shutdown in our stores for three full days, as well as an impact or installation business where customers didn't want to have installers coming into the home and doing measurements.  And so as we moved through February, that negative impact of COVID declining, actually increased the activities that we saw. As we said, we've been very pleased with what we're seeing in our pro-business and what our future pro book of business looks like. And we've been pleased with the results that we're getting from the investments that we've made in our installation services business. And we have work to do on consumer, obviously, where our transactions ended up for the quarter, clearly, we feel really good about the rebranding that we're doing. But that's a longer term journey. So we feel good about the overall demand that we saw coming through Q1.
Seth Basham: Got it. And lastly, for now, you talked about the headwinds from ocean shipping and you have some contracts up for renewal this spring, can you give us some insight into how those contracts are being reset? And how much they had when you expect ocean shipping to be for the next year?
Charles Tyson: Yes, I think it's going to be an interesting question to look to see what happens with macro demand. Obviously, the COVID interruptions in China are causing at least some supply chain slowdowns, but not as bad as we saw earlier last year with the shipping issues. So I think we feel very good about where we've ended up with our contract negotiations with the carriers. They’ve only just started they started in May. So we have to see what happens to both the availability of containers versus a year ago. And what happens more in the overall macro demand environment and what that does to pricing.
Seth Basham: Got it. Thank you very much.
Charles Tyson: You're welcome. Thanks.
Operator: [Operator Instructions] At this time, we currently have no further questions. Therefore, this concludes today's call and I'll hand back over to Charles Tyson CEO for any closing remarks.
Charles Tyson: Thank you, operator. Thanks, everyone for joining us today. Again, I want to thank our dedicated teams for that solid execution while in the near term operating environment remains volatile. We're excited about our long-term growth opportunity. We say everyone good health and safety and we look forward to updating you on our performance next quarter. Thank you.
Operator: Ladies and gentlemen, this concludes today's call. You may now disconnect your lines.